Operator: Good morning, my name is Heather, and I will be your conference operator today. At this time, I would like to welcome everyone to the DHX Media First Quarter Results Conference Call. All lines have been placed on mute to prevent any background noise. After the speakers’ remarks, we will have a question-and-answer session for analysts [Operator Instructions]. I will now introduce your conference leader, David Reagan, Executive Vice President, Corporate Development. You may begin your conference.
David A. Reagan: Thank you, operator, and thank you everyone for joining this morning. Joining us on the call today are Michael Donovan our Executive Chairman; Dana Landry our Chief Executive Officer and Keith Abriel, our Chief Financial Officer. Before we proceed though, we have some standard cautionary statements. The matters discussed in this call include Forward-Looking Statements regarding the business strategies of DHX, the forward financial and operating performance of DHX and its subsidiaries, the timing for implementation of DHX's business strategies and the markets and industries in which DHX operates. Such statements are based on information currently available and subject to a number of risks and uncertainties. Actual results in the future could differ materially and adversely from those described in the forward-looking statements as a result of various important factors, including the Risk Factors set out in company's MD&A and the Company's annual information form. With that, I will now turn it over to our Executive Chairman, Michael Donovan to kick things off. Michael.
Michael P. Donovan: Thank you, David, and thanks everyone for dialing in today. As mentioned on our previous call, strong global demand is one of the key drivers for our business. We've spoken before about the surge in demand we are seeing from streaming services in China which we feel will eventually mirror the demand you have seen in North America and Europe over the few years. This morning, we are very pleased to announce two more non-exclusive deals with streaming services in China first 400,000 half-hours of Mandarin dubbed DHX content were licensed to the major AVOD and SVOD platform, iQiyi which is owned by the search giant Baidu and is one of the largest internet and mobile video service providers in China and also 313 half-hours of Mandarin dubbed content were licensed LeTV which is one of China largest online video companies offering OTT services for Smart TV and set-top-box. The significance of against of these deals being non-exclusive needs to be highlighted. We now have approximately 300,000 half-hours of Mandarin dubbed content in our library and by signing non-exclusive deals, we are able to license this content again and again in China. Dana we'll speak more about China in a moment. I am going to hand the call over to him now. Dana.
Dana S. Landry: Thank you, Michael, and thanks everyone for joining us again this morning. We are very pleased today to be announcing the sixth consecutive quarter with results rolling quarter-over-quarter. Off the top, I would like to cover some highlights from the key one results release. As the largest independent kids content TV Company in the world, our content is critical and in Q1 we had a strong quarter delivering 67 half-hours of quality kids and family content to our library, up 116% over Q1 2015. Next critical is global penetration of that content, so we are pleased that in the core distribution revenue grew by 40% over Q1 2015. In addition, during the quarter we saw double revenue growth across most of our business units. A pleasant surprise for the quarter was the M&L represented which was up $3.7 million to $6.7 million compared to $2.9 million last year Q1 2015. This was well above the high end of management's expectations driven mainly by an exceptional performance of our representation of Universal's Despicable Me and Minions in Europe. Today results represent 28% organic growth in Q1 across the Company, including 9% organic growth in M&L represented; 7% in distribution and 12% in producer and service fee. It’s also worth nothing that revenues were up 20% through acquisitive growth driven generally by the family channel and Nerd Corps acquisitions. Our producer and service fee revenues were also well above the high end of management's expectations coming in at $14.3 million, up 115% compare to Q1 2015. This increase is a result of the Nerd Corps acquisition and our expansion of our studio capacity, but it also reflects the continued strong global demand for children's content. Keith will take a deeper dive into these results, but I would like highlight a few of the key metrics. Revenue for the quarter was up 48%, adjusted EBITDA was up 34% and net income came at $7.5 million or $0.06 per share representing a $15.2 million increase in absolute dollars over the loss of $7.7 million last year. It's worth nothing that both net income and EPS was impacted by the $14.2 million tangible benefit charge that we took in Q1 2015, which obviously did not occur this year. Our basic earnings per share this quarter rose from a loss of $0.06 to a positive net income of $0.06. Our adjusted EPS rose to $0.07 versus $0.05 last year. Now turning back to China, over 700 half-hours license to iQiyi and LeTV are of course on top of the 2500 plus half-hours licensed to Alibaba that we announced in mid September and the more than 700 half-hours available on the DHX SVOD launch with China's state broadcaster last winter. As Michael pointed out, all of these deals have been executed on a non-exclusive with basis. We see China amongst other regions as part of the great emerging global market for our brands. Classic Teletubbies is a great example. We have licensed that series among many others to all four of the streaming services I just mentioned and there are more deals to come. Approximately 16 million children were born in China each year are born I should say in China each year and that number is expected to increase now that the government has further loosened its one child per family restrictions. There is a whole new generation of young-adults in China - sorry there is a whole generation of young-adults in China that grew up watching the original Teletubbies, Teletubbies, as they have kids, they are going to want to share the Teletubbies with them. They are also going to want to share many of our other brands. And of course there are many DHX shows for them to discover like Caillou, Johnny Test, Super WHY, Animal Mechanicals, and of course the classic Inspector Gadget new and old all of which and many more are now available in China in Mandarin dubbed versions. So there exist tremendous potential for audience numbers in China. Meanwhile in the UK parents are now treating their children to our new series of the Teletubbies which premiered on CBeebies one week ago today on November 9. The show has posted very strong early ratings and was in the top forty on the BBC iPlayer all week. This is significant because it's up against all forms of content on the BBC at all shows including live action and adult. Public reception to the new series has been extremely positive, the series will be rolling out on broadcasters internationally in 2016 including our own Family Junior channel and Nick Junior in the US. And we of course anticipate licensing it into China as well. Now, I would like to remind everyone that our merchandizing and licensing arm has executed more than 30 deals for Teletubbies so far including Global Master Toys, electronic toys, costumes, books, apparel, puzzles and a numerous other consumer products and toy distributor deals in the US, Canada and Europe. The licensing on this property, which had fallen somewhat two years ago when we had acquired it, is now in the early stages of what we anticipate will be a global revival. As Teletubbies rolls out over the next year, we expect great results from Tinky Winky, Dipsy, Laa-laa and Po. Teletubbies is just one of many examples of course that we could give, but it clearly illustrates what we are capable of in this new and evolving media landscape as we leverage synergies across our integrated platform of production, distribution, broadcasting and licensing. Fantastic DHX shows such as Make it Pop, the upcoming Cloudy with a chance of Meatballs series, Twirlywoos, Degrassi: Next Class, Inspector Gadget, Gaming Show, Endangered Species, Fangbone, Dr. Dimensionpants and many other are in demand worldwide. Further, I really wish I could also tell you about some of the really exciting shows in our robust development pipeline, but you will need to stay tuned for future announcements. Sufficed to say there are some really great content in the works in both live action and animation. We see great opportunities for our brands going forward and we continue to have tremendous optimism in this exciting new market. With that, I'll turn the call over to Keith.
Keith B. Abriel: Thank you Dana, and thanks to everyone for dialing in today. Along with these strong results management is pleased to announce two updates to its outlook as follows. The revenue target range for distribution has been revised slightly upwards from a range of $75 million to $90 million to a range of $80 million to $95 million. And the revenue target range for M&L represented has also been revised upwards from a range of $14 million to $16 million to a range of $16 million to $20 million. Beside from these increases and a couple of minor tweaks to our expected quarterly revenue facings management's outlook for fiscal 2016 remains unchanged from that posted in our fiscal 2015 year end MD&A. Turning now to the posted Q1 numbers, management is pleased to highlight strong growth in revenues, which are up 48% to $63.9 million for the quarter from $43.0 million from Q1 2015. The increase was generally due to increases in distribution, which accounted for 19% of the growth, producer and service fee revenue which accounted for 37% of growth, M&L represented which accounted for 18% for the growth and acquisitive growth from DHX Television, which accounted for 23%. Proprietary production contributed $4.1 million in revenues for the quarter, a decrease of 26% compared to $5.6 million for Q1 2015. The lower per half-hour proprietary production revenue was as expected as certain of the scheduled Q1 2016 proprietary production deliveries were for production pre-sales of Teletubbies, which will be recognized when the license opens. Factoring in these pre-sales would bring the per half-hour proprietary production revenue in-line with historical norms. The company added 69 half-hours to the library of which 39 were for proprietary titles. This was consistent with management's expectation for the quarter. Distribution revenues for Q1 increased 40% to $40 million from $9.9 million for Q1 2015. This increase was primarily due to continuing growth of new digital customers, platforms and territories and was near the midpoint of management's expectations. For Q1 2015, DHX Television revenues were at $18.8 million, near the high-end of management's expectations. DHX Television was owned for all 92-days of Q1 2016 versus only 62-days for Q1 2015, accounting for the absolute dollar value increase. Approximately 89% or $16.8 million of DHX Television revenues were subscriber revenues, while advertising, promotion and digital revenues accounted for a combined 11% or $2 million of DHX's Television revenues for the quarter. M&L owned revenues increased 55% for Q1 2016 to $4.7 million compared to $3.0 million for Q1 2015, as the company continued to recognize revenues related to non-refundable minimum guarantees associated with Teletubbies and Twirlywoos M&L deals and also recognized revenues of $1.2 million associated with the 2015 Big Ticket Concert tour. M&L owned revenues were below the low-end of management's quarterly expectations, based on timing of recognition of certain of the minimum guarantees. Management expects to make this up in Q2 and Q3 2016 and to be on track with the annual expectations. M&L represented revenues for Q1 2016 were up $3.7 million to $6.7 million, compared to $2.9 million in Q1 2015, this was well above the high-end of management's expectations, driven mainly by the strong performance of our represented brands Despicable Me and Minions. Revenues for producer and service fees also came in well above the high end of management's expectations at $14.3 million, an increase of 115% versus the $6.6 million for Q4 2015. I believe I was suppose to say Q1 2015. New media revenues were up 47% to $1.2 million, compared to $0.8 million for Q1 2015. Gross margins for Q1 2016 were $34.6 million, an increase in absolute dollars of $9.5 million or 38% compared to $25.01 million for Q1 2015. The overall gross margin for Q1 2016 at 54% of revenue was toward the low-end of Management's quarterly expectations. Adjusted EBITDA for the quarter was $18.4 million up $4.7 million or 34% compared to $13.7 million for Q1 2015. Net income for the quarter was $7.5 million or $0.06 a share representing an increase of $15.2 million in absolute dollars over a loss of $7.7 million for Q1 2015. As Dana mentioned, last year's Q1 net income and basic EPS was impacted by a $14.2 million tangible benefit obligation charged. Comprehensive income for Q1 was $3.7 million compared to a comprehensive loss of $10.6 million for Q1 2015 or an increase of $14.3 million in absolute dollars. Turning to operating expenses, SG&A costs for Q1 2016 increased 45% to $17.3 million, compared to $11.9 million for Q1 2015. This includes all SG&A associated with the DHX Television, Echo Bridge and Nerd Corps acquisition and also reflects increased levels of SG&A within DHX Brands and DHX Distribution and as management has continued to add resources in these areas to take advantage of the opportunities associated with Teletubbies and Twirlywoos and the global expansion of digital distribution platforms. The Q1 SG&A includes $1.1 million in non-cash share based compensation compared to $0.6 million for Q1 2015, when adjusted cash SG&A at $16.2 million was just above the midpoint of management's quarterly SG&A expectations. For further specifics on our Q1 results as well as digital information on management's fiscal 2016 outlook and various other information including a reconciliation of GAAP and non-GAAP financial measures, I would refer you to the Company's fiscal 2016 Q1 MD&A, which was posted on SEDAR and EDGAR this morning. I’ll now turn it back to David, for a summary of recent corporate developments.
David A. Reagan: Hi Keith, thank you for that that's great and thank you everyone. A couple of quick points here. During the quarter, we closed some good distributions deals including for Cloudy with a Chance of Meatballs, the TV series, which is now being produced that our Vancouver Animation Studio, it was licensed to Turner Broadcasting for Boomerang channels across Europe, the Middle East Africa, Asia Pacific and Latin America. The animated fantasy series Fangbone was licensed to Disney XD channels in the U.S. Latin America, South East Asia and Taiwan. Also licensed to Disney XD channels in the U.S. was the innovative live action series gaming show In My Parent's Garage an original commission and ratings leader, from DHX television. And on the merchandising licensing front Jakks Pacific Inc was appointed master toy licensee for the hit teen show making Make it Pop. Jakks Pacific will launch product in dolls, plush, dress up, role-play, girl's electronic toys and Halloween costumes categories. Product is expected to launch at retail in 2016. Watch for announcements in coming weeks of Make it Pop Season 2 premier on Nickelodeon. And finally, our corporate development side, we're focusing perhaps the most robust pipeline of opportunities we have ever seen. We continue to process many opportunities and while I cannot comment at this time on specific of deals. We look forward to providing updates in the coming quarters. And with that, I'll hand it back to the operator for questions from analyst. Thank you.
Operator: [Operator Instructions] Your first question comes from the line of Aravinda Galappatthige with Canaccord Genuity. Your line is open.
Aravinda Galappatthige: Good morning, thanks for taking questions. I'll maybe start off with a big picture question, I mean, this time this earning cycle obviously there was quite a bit of discussion from the larger U.S. media conglomerate about revisiting their plans around selling SVOD platforms like Netflix, obviously cautious about the impact it's having on their own broadcast assets. I mean I heard that from multiple including Disney, Warner and I think even Fox as well as Discovery I believe. I just wanted to get your thoughts on how this opens up perhaps an additional opportunity for independent players like DHX Media, maybe sort of creates more room no capacity for you to sell to these SVOD platforms?
Dana S. Landry: Yes, sure, I'll speak to my take on the high level media and how it specifically relates to DHX and then maybe I'll ask Michael to comment as well. So I mean for us and we've been saying for quite some time one of the great things that we have as the leading independent is we are without channel conflict and this is not channel from the perspective only on the leaner side, but also from the digital side. Really-really that's extremely important these days, because we are able to do deals such like ones we announced today in many territories on a non-exclusive basis and really unlocked tremendous dive for us through our library. And so as these new platforms come on a lot of the traditional media folks that you have mentioned for instance have legacy issues with either previous output arrangements or previous channel arrangements, and I think that conflict is only going to be turned up in the future where we continue to have relatively low conflict. And so feel that we will have a sort of a new surgeons here as some of these larger players start to pull offline we will become even a greater partner. So we think its tremendous growth and sort of potential going forward and sort of right according to plan. Michael, I don’t know if you have any macro comments as well.
Michael P. Donovan: No it's exactly central to our strategy and it has been from the beginning, but in the old world vertical integration was critical to success, but now it's an encumbrance and the fact of us being pure play independent gives us the flexibility in this new environment, which is now to our advantage, exactly.
Aravinda Galappatthige: Thank you very much and just with respect to the M&L side, I know you talked about the ratings of Teletubbies early days. I was wondering, I know that Twirlywoos your other sort of M&L prospect was released earlier, think it was in February or March, if I am not mistaken BBC or CBeebies. I was wondering if you can talk to the ratings there and M&L opportunity there as well?
Dana S. Landry: Yes well thanks for the question Aravind, I mean Twirlywoos is off to a great start, it's a brand new brand, so it takes awhile to sort to get traction, but having said that it's been consistently ranked within the top one or two properties on CBeebies center's launch. We have already gone into - its highly like we are going into future season on that as well. There is a little bit of product in the market for Christmas this year, it's relatively small release. This will sort of track more to the typical brand release strategy, which is you have to sort of launch in the home territory in this case through CBeebies. Now what's great about this is that it's got the key traders and were of course was the also trader the trader of Teletubbies and so she comes with a great preexisting fan-base not only on the kids side, but also on the retail side. So that has made it I can't say easy, but it has certainly opened many doors for us. And we are certainly walking through those doors. We are expecting some nice results, but it's still early days on the Teletubbies, I will just go back to that for a moment I mean that is - we have to really can't overstate how sort of unusual it is to get this sort of traction this early. Really quite ahead of our expectations even though the brand was significant, if you look to at many other releases of kids properties over the years, they typically takes five, six, seven years before they start to take off and as I said, it's early days, but we are off to a good start.
Aravinda Galappatthige: Thanks Dana and then really quickly on the DHX TV side, two things. First of all now that you are starting to transition out of Disney, just wondering if you can give us an update on the ratings on the channel and secondly with respect to the BDU agreements, if there is an update that you can provide on what has been re-signed and which ones are still being negotiated.
Dana S. Landry: Yes, so, I can't comment specifically on any individual contract, but what I can say is that many of them have either been signed or were well on our way. Certainly a lot further well closer to the end than the beginning by all accounts and those are coming in as expected. As you know we put out our guidance in September for what our expectations are on the different rates and we are well within that range. In fact, I think it's worth pointing out we are ahead of our expectations in Q1, although only a few of those [indiscernible] probably would have rolled through, but sufficed to say we are well on track with our expectations that we put out there and we are tracking well in terms of the BDU agreements. And really just to put a point on what is really interesting is the same sort of reaction that we are getting on our content around the world is happening here in Canada and really because we own the channel here, we can also look at things like sharing windows and also leveraging our SVOD rights within our own home country, which has been very interesting to all the BDUs. Now in terms of just turning over to ratings, it's a couple of months in and so far so good. We have tracked - that we've held to number one on family and the other channels are holding in, holding their own, about as expected and about where they were last year. So, so far so good.
Aravinda Galappatthige: Thanks Dana and a last question for Keith. The $2 million to $4 million in extra non-recurring marketing and sales spend around DHX TV. Is that going to be below the adjusted EBITDA line when you guys report the upcoming quarters, is that going to be factored in? Thank you.
Keith B. Abriel: I think we anticipate putting that below the line or to the adjusted EBITDA as it is. Those will be incurred this year and then wrap up and not be incurred going forward.
Dana S. Landry: And of course the rationale there Aravind there is that there is a lot of one-time setup that will obviously talk about the typical period marketing cost from that. It will be in the normal SG&A, but anything that is set to do re-launch, that you wouldn't do on an annualized basis and relatively small but [indiscernible].
Aravinda Galappatthige: Great thank you, I'll pass the line.
Operator: Your next question comes from the line of Rob Goff with Euro Pacific. Your line is open.
Rob Goff: Good morning and thank you very much for taking my questions. The first one would be at the macro level and that would be your comments on the robust pipeline. Is that largely a function of the capital markets and then my second question would be a bit more granular and that's where you looking at roughly 30% year-over-year growth in production and were you looking at moving away from the Disney. Could you talk about the implications those would have on working capital. Thank you.
Dana S. Landry: Sure, so just to clarify Rob and good morning, the macro function on pipeline, was that related to M&A or sales pipeline?
Rob Goff: That was M&A.
Dana S. Landry: Okay, fine, and then okay working cap. So, I'll speak to the second one first, in terms of the 30% growth, as you are increasing production you will have a working capital use. In the 20-years or so that I have been into the business, everyone asks me what does your cash flow look like when you get to steady state. Well the reality is steady state is an interesting idea, but typically you know what happens is you are either ramping up, because of technology is pulling you forward or you are ramping down because of, years ago things like advertising constraint factors as well. Right now of course, we've got the massive tailwinds of content and global demand, so we're sort of ramping up. So yes, you would see that sort of, a use on working capital that was particularly pronounced in the first quarter. that will reverse somewhat throughout Q3 and Q4, but overall we would expect sort of a use sort of $15 million-ish or so on that basis for the year is my quick expectation. Of course that is reversed in the normal cycle and when that working capital is repatriated when things like the tax credit which typically take a couple of years and other things roll back in. So that's I would say, on terms of the pipeline, I mean it's interesting, we've always had a very robust pipelines in terms of the M&A opportunities coming into the top of the funnel. I think what is probably happened overtime though as we have done many more infrastructural deals over the past and sort of reached the critical math point few years back, the deals that sort of fall to the bottom of the funnel I think were slightly lower than they have been over the last couple of months. I think that last couple of months, certainly when companies like Disney and others and all media in general suffering in terms of the high-level capital markets, it creates up bigger opportunity at the smaller end of the funnel for sure.
Rob Goff: Okay. Thank you very much.
Operator: Your next question comes from the line of Deepak Kaushal with GMP Securities. Your line is open.
Deepak Kaushal: Hi good morning guys, thanks for taking my questions. I want to go back to the question of exclusivity versus non-exclusivity. So it seems like you are still getting good non-exclusivity deals on library content in places like China and emerging markets. Are you seeing any market shifting back towards exclusivity whether it's on new content or even library content?
Dana S. Landry: Yes, of course, I mean I think as the market matures the typical trend that was always going to revert back is that people will try to get back to exclusive deals. I think the issue though is part of it is that there is so many additional customers and platforms that are still out there, even in some of the more markets like the U.S. that are still looking for significant library deals and they really still can't afford the difference between non-exclusive and exclusive. And so there is still I would say 85% of our deal is even in the North American territory and certain parts of Europe that are more mature are still in the non-exclusive category. Now having said that there are a few brands that each of our key platforms will pick and they will want to have exclusive breakthrough and so I'll go back to a couple of deals that we've done recently, obviously with respect to exclusive. In the U.S. for instance we did an exclusive deal with Netflix for Inspector Gadget for the U.S. only. So that was one territory that we did that deal with and on Netflix we also did a deal with them for a worldwide original commission for Degrassi Next Class, but having said that there are still many-many other deals that we're doing with Netflix and many other platforms that are still in the non-exclusive territory. And we've always thought that it would transition to that place when we get to the mature market, but two things, one is we don't think we're anywhere near mature and number one. And number two you have got the new territories coming on, which are typically been to the similar sort of trend which is to start off non-exclusive get their total into the market, but at the end of the day, what works in digital and which is why really we have had a great run and we will continue to do so. Its two things matter, scale which is of large library and drivers key properties and it in your model or able to deliver both, we feel you can carry on for quite some time.
Deepak Kaushal: Okay, great. That’s helpful, thanks. And then going back to China and new markets and China in particular you have had some library sales there, what does the landscape looks like over there in terms of new commissions and new proprietary titles or brands that are being generated out of that market or you can participate in?
Dana S. Landry: Yes, so it’s a very interesting question actually. Our strategy is evolving certainly weekly or monthly, for instance myself and Steven DeNure and the whole team are going over there this coming Saturday or about a week or so to have some conversations in trying to expand some partnerships. And so what is happening really is that the market is trying to feel it's way out, so far the deals are being done in non-exclusive manner. There are some conversations about exclusively, but the difference here is as you said, because China in particular is very political, it's more difficult to qualify on original commissions for Chinese content and that there is only a certain amount of western or foreign content that is allowed under the existing channel universe. And I think that equates to somewhere between 10% to 20% depending on the platform and so it's really working on a long-term basis to come up with partnerships, they certainly like your content more Chinese and you can do that on selective titles, but very difficult to do on existing brand. So that will be one of the key things that we look for going forward is opportunities to partner with some of the best content makers in China to help unlock that region.
Deepak Kaushal: Okay and just a last fit there, on those best potential partners in China, how would you compare the quality of their animation production capabilities versus where the western markets are today [Indiscernible].
Dana S. Landry: Well I think it's different is what I would say. The Chinese animation is the different style of animation, similar but different than anime for instance and quite different from classic layout and it is quite different from 2D, quite different from 3D, quite different from CTI, quite different from some of the Pixar stuff that you have out there. So it's really just another classification of animation, it’s very much personal preference. So, I wouldn’t say it's inferior in an way to your perform. What's more critical though is really being on the grassroots of the design to make sure that some of the elements that would allow you to qualify is Chinese are in the production upfront in terms of design and character development and on the style's animation we would be chosen based on the individual property.
Deepak Kaushal: Okay great. That’s helpful. I'll pass the line.
Dana S. Landry: Thanks Deepak.
Operator: Your next question comes from the line of David McFadgen with Cormark Securities. Your line is open.
David McFadgen: Hi I have a few questions. So, first of all if you read through the MD&A you gave a section DHX TV update and you talked about the fact that you have done some or renegotiated some new affiliate deals, and you are in the process of close to signing and other ones. So I was wondering if you could disclose or tell us which [indiscernible] deals you have done with which distributors?
Dana S. Landry: I can't really comment on any specifics, David, obviously confidential negotiation, but sufficed to say that - what I would say is 90% is either contracted or near to signing 90% plus is how should say to you.
David McFadgen: Okay and then in terms of the Chinese deals, you announced this morning, I was just wondering if you confirm are those deals worth six figures in terms of dollar value?
Dana S. Landry: Again we don't disclose individuals, but I would say there are significance, but wouldn’t be let’s say material on the context of what 5% of DHX should be or something like that. So in terms of revenues, it would be anywhere near that but certainly very significant and more I think indicative of the types of deals, types of starter deals I think David, I would kind of best look at this as early deals that we did back even in say North America where we had Cohos and a number of different platforms and those just really led to further deals. If you take Netflix as an example, in the U.S. we've probably done close to 20 deals overall since we started doing deals back in 2007 and so a lot of these relationships I would think are going to follow the same and similar trend.
David McFadgen: Okay. And then just on Teletubbies, so you talked about the fact that you have signed more than 30 deals so far. I was just wondering, if and when you think that you might be exceeding the MGs on those, would that be a fiscal 2017 event or 2018 event?
Dana S. Landry: It would be 2017 at the earliest. I think we will probably have enough information to know by 2017 and so the MGs of course are interesting and important to get skin in the game, as we like say in terms of our different partners and make them focused on a return. But ultimately we're in it for overages and so we fully expect overages across all of the MGs that we get, but it will be a timing issue and it probably start to happen in 2017 and then hopefully on to the 2018.
David McFadgen: Okay and then just following on with Teletubbies, you know you talked about initial strong ratings. Can you be a little more specific in terms of how the ratings were?
Dana S. Landry: I would love to. Our partner has not allowed us to disclose it just yet. With literally one week a lot of the wording that we've put together on the call today and stay tuned, relatively soon we will get those ratings out, but they were very strong.
David McFadgen: Okay. All right. Thank you.
Dana S. Landry: Thank you.
Operator: Your next question comes from the lines of Bentley Cross with TD Securities. Your line is open.
Bentley Cross: Good morning gentlemen.
Dana S. Landry: Good morning Bentley.
Keith B. Abriel: Good morning Bentley.
Bentley Cross: First I would just want to - I know you guys don't like to talk about it too much, but I just wanted to ask about the DHX TV, in signing these deals I know there is a fair amount of uncertainty, are the BDUs essentially asking for a 1-year loaner period with longer contract or do have enough time to sign multiyear deals right now?
Dana S. Landry: Not on multiple year deals.
Bentley Cross: Okay good. And then even only updated guidance it looks like you guys are essentially looking for ballpark 14% organic growth, obviously you guys have exceeded that in 2015 and so far this quarter. Just wondering what hesitation is there and why you are not guiding a little higher?
Dana S. Landry: Thanks for that question Bentley. I mean I think the organic growth we fully expect it and our targets in our budgets, et cetera are well north of that. I think that the part of the thing that is happened here is we are an evolving fast-paced world and we are trying to give the market on DHX the real-time information as it becomes available to us. And for instance things like China, going into the year and now into the quarter we have done a few deals and we've got as I said a bit of the trip planned. But sometimes these markets take a little longer to develop and so we're just trying to be as - I wouldn't even call it conservative, but as realistic with respect to the rollout. I wouldn't read anything into it other than some time it takes time for those markets to evolve, but as the same pace that they have over the last couple of year. We certainly expect to exceed those numbers.
Bentley Cross: Okay that's reassuring. And then lastly you guys have had that great success again this quarter adding third party IP titles. Are you seeing anything different in terms of the overall market that’s changing the dynamics there or do you guys just have more negotiations or how are you pulling these things off?
Dana S. Landry: It's a bit of both, I think that I often speak about the virtue of circle in some of my investor conversations, really as you get bigger as a company the more leverage you have across all of the different channels in terms distribution, production, licensing you get more relevance. So what ends up happening is that moment believe then to not only key trade us coming in and want to work for us, but also other content, and really the key there is that the studios have such large advantage given that they own massive channels in U.S. which are massive cash flow generator to them. In order to compete you have to have scale and we're starting to complete in a meaningful way certainly in the digital side, but many other categories licensing as well. And things like recently we have been awarded the number one top distributor worldwide of all companies for the hot kids screen top 50 and things like that are driving people to phone us and want to partner. So we expect more of that to continue.
Bentley Cross: Okay, and last one from me, I'm sure you guys saw that [indiscernible] productions got a new owner a couple of months ago. I was kind of surprised that you guys weren't at the table for that or if you were that you bowed out. Is the dynamic there is just pricing or you guys don't want that live action exposure as much?
Dana S. Landry: No, it’s an excellent company, run by very-very solid individuals. I think that it's time and place for us, they certainly have some great content some of its on the channel and helping driving ratings for us. Certainly, for our point of view I think though going back to my earlier comments is that now we sort of have the infrastructure and scale that we need. We are looking for things that would be either currently global drivers or potentially future global drivers and we are seeing opportunities outside of that particular one that I would say that's perhaps from our perspective a better fit globally. So I wouldn't read anything into it other than overall I would say it's very positive for content to have deals like this happen. You know competition in terms of one of the reasons that we talk about many times is that we feel we don't really have any comps here in Canada and very few in the world, but certainly not many in Canada. So the more that these deals come out there in the public, I don't know if those terms were disclosed or not, but the interesting content has obviously been disclosed and certainly we think that's very much positive for us and our story.
Bentley Cross: Great. Thanks a lot guys. Much appreciated.
Dana S. Landry: Thanks Bentley.
Keith B. Abriel: Thanks Bentley.
Operator: [Operator Instructions] Your next question comes from the line of Haran Posner with RBC, your line is open.
Haran Posner: Thanks very much, good morning guys. A couple of questions from me. First on YouTube, very nice to see the growth return this quarter, very healthy and then just first whether you can comment on how much of that growth was your own proprietary IP on YouTube and whether some of that growth was driven by kind of represented businesses that you are now doing on that channel. And then separately if you would comment at all on YouTube's new subscription or ad-free service and how you're participating in that one?
Dana S. Landry: Yes, sure so thanks, yes we were very pleased as well, we announced this a couple of years ago to go back and obviously we had tremendous increases quarter-over-quarter, because we were starting off with base of zero. We expected that we would get to a point where there was a risk it could level out. One thing that we have done is we've committed a number of - quite a significant team internally as you're aware, but we've expanded that over the last couple of quarters including a team [indiscernible] and that team is also driving new original content and they are a bit relatively small right now, but taking our existing brand for instance. We had a little experiment we did on one of our properties called Rosie and Jim, which is a popular brand 20 -years or so ago in the UK and so we did a little animated video which cost us very little. Bit of an experiment as to whether the brand had relevance again and things like that are really starting to take off. So you'll see us put more resources towards it, we think there are some real organic growth potential, but going back to your comment, the vast majority of that is still organic growth, I would say 80% and only about 20% would be additional represented. And so we think there is another level of growth in terms of representing those particular properties. So that's really a really nice story for us. Now back to your comment in terms of the ad-free, what I would say is that YouTube obviously is experimenting in a number of different ways as you would be aware Haran, having covered the company for a few years now, we did a partnership with them a couple of years back now where we owned some SVODs, which we should currently still do with them. Again, a bit of an experiment on their part, but the point is that we have always been a great partner, YouTube and none of that has changed with respect to their new strategy. They are looking to companies like us as leaders in terms of how they would drive their growth. And so we are looking at many ways that we can look to the future very much as a partner as appose to competitor and so we expect obviously nothing to announced there now as their plans and strategies evolve, we will not make announcements along side of it.
Haran Posner: Thanks for that Dana. One other question and going back to I guess the corporate development pipeline. I mean increasing I guess in the last couple of quarters you have talked about joint venture opportunities in addition to straight up M&A, I'm just interested if you could comment on how should we think about joint ventures, I guess earlier on the call you made a comment on China with respect to partnering locally. Is that the type of ventures we are talking about or is there anything else that you can help us with?
Dana S. Landry: Yes I think that it's sort of an evolution of us as a company maturation but also an evolution of the marketplace as well. To the extent where we can go and acquire IP and as the library is always our preference. However, we have been asked a number of times over the years to engage in partnerships and joint venture opportunities. Some I can remember back as far as seven or eight years ago with some of the SVOD platform where people wanted us to come in and provide the content for an equity interest, et cetera, et cetera. At that time we always felt like we wouldn't necessarily lean into the technology to the extent that they were all looking for us to do. We would sort of just sit back and become the distributor and license all of our content in there and take the revenue associated with those regions, but as those platforms start to emerge and as company start to roll, we feel that there are now opportunities that makes sense. And those are the types of things that we will look to, but it's not only in different regions in terms of how we could launch our content into a territory, but it's also going back to what we do well, which is create content. We are one of the leading content creators in the world, we have this engine as you know vertical integration of a studio, multiple studios that can produce many types of animation and also a channel to a lot of green light. Not to mention, an excellent distribution team that can go out and distribute. So all of this unlocks potential for partnerships with larger toy companies or licensing opportunities that do not have that expertise and are very much [indiscernible] the globe for companies like us to come in and deliver the content. And so those are the types of ventures and partnerships that we will look towards and we expect to be announcing some in the near-term.
Haran Posner: Thanks very much.
Operator: Your next question comes from the line of Rob Peters with Credit Suisse. Your line is open.
Robert Peters: Hi thanks very much for taking my questions. Just maybe wanted to touch on the distribution sort of things for a second and when we look at distribution margins it does look like there is some seasonality there, but I was wondering if there is anything else in play as we think about doing more distribution deals with dubbed content. Do those deals have higher cost given the IO changes and looking forward is that a situation where as you dub more and more of the library, should margins in that segment begin to lift?
Dana S. Landry: Yes, so it’s a great question. Yes it's very much seasonal and - I wouldn’t say seasonal, but its depending on the types of brands you are delivering in, certainly there is a cost to dubbing that is upfront in some of these Mandarin deals and some of the other deals we are doing. Obviously we think those are investments in the future, because we will own those assets in the case of the all of the Chinese deals we've done we are obviously going to be dubbing those 3000 half-hours which obviously has an impact on cost of goods sold, no doubt in the short-term. Having said that we still have extremely robust margins I think even in the quarter distribution was well in excess of 55%. So these things can do [indiscernible] is not the right word, but average out over the year and that's why Rob you will see in the last quarter we started to announce different quarterly expectations in terms of distribution, but also an annual number, where we feel those averages will come back within a tighter range. So hopefully that's helpful and certainly we feel that those investments going forward will continue to allow us to fuel the growth. So it’s certainly well risen.
Robert Peters: I did see that, it’s quite helpful actually and may be just looking at TV, I think we saw the benefit of the extra months in the quarter, but you did highlight kind of on a per day basis revenue was down about 9%, should point out in line with a high-end of your guidance. So I was just wondering, if you could give any color on the breakdown of the decrease, I'm assuming it's on the subscriber side, but was there any pricing impact there?
Dana S. Landry: Yes, on the subscriber side, I mean I think, there is the typical depletion that all of the linear broadcasters are seeing, whatever that the prognosticators are saying 1% to 2% which certainly we are seeing as well. And then some of it is just the expected revisions based on our new strategy and obviously our announcement to bring the savings in-house from our previous output arrangement, but also put it back into investment into content. And so we fully expected that and so far we are exceeding our own sort of targets and we are feeling confident that we will continue that trend.
Robert Peters: Fantastic and maybe just a follow-up on that. Were the trends relatively uniform throughout the quarter?
Dana S. Landry: I believe there was maybe one month on one of the deals, so it was only a couple of months so yes relatively yes.
Robert Peters: Thank you very much.
Operator: There are no further questions at this time. I will turn the call back over to our presenters.
David A. Reagan: Thank you very much, operator and thank you everyone for joining us today. As always, if you require more information, please consult www.dhxmedia.com for the Investor section where we are available for your questions. Thank you. Good bye.
Operator: This concludes today's conference call. You may now disconnect.